Operator: Good day and thank you for standing by. Welcome to Vista's First Quarter 2025 Earnings Webcast. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Alejandro Chernacov, Vista's Strategic Planning and Investor Relations Officer. Please go ahead.
Alejandro Chernacov: Thanks. Good morning, everyone. We are happy to welcome you to Vista's first quarter of 2025 results conference call. I am here with Miguel Galuccio, Vista's Chairman and CEO; Pablo Vera Pinto, Vista’s CFO; Juan Garoby, Vista’s CTO; and Matías Weissel, Vista’s COO. Before we begin, I would like to draw your attention to our cautionary statement on Slide 2. Please be advised that our remarks today including the answers to your questions may include forward-looking statements. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from expectations contemplated by these remarks. Our financial figures are stated in U.S. dollars and in accordance with International Financial Reporting Standards, IFRS. However, during this conference call, we may discuss certain non-IFRS measures such as adjusted EBITDA and adjusted net income. Reconciliations of these measures to the closest IFRS measure can be found in the earnings release that we issued yesterday. So please check our website for further information. Our company is Sociedad Anonima Bursatil De Capital Variable organized under the laws of Mexico, registered in the Bolsa Mexicana de Valores and the New York Stock Exchange. Our tickers are VISTAA in the Bolsa Mexicana de Valores and VIST in the New York Stock Exchange. I will now turn the call over to, Miguel.
Miguel Galuccio: Thanks Ale. Good morning, everyone and welcome to this earnings call. As you know, last week, we announced the acquisition of Petronas Argentina. I am personally thrilled by the consolidation of 50% of La Amarga Chica, a low cost, high return asset which is transformational for Vista providing us with a significant large scale. The acquisition brings material flow in production and substantial EBITDA generation, which will strengthen our cash flow profile going forward. Today, I will first go through the quarterly results, then into the details of the acquisition and its merit and the last I will do a Q&A session. During the first quarter of 2025, we continued to deliver robust growth year-over-year. We also recorded a major milestone with the inauguration of Oldelval Duplicar pipeline, reducing significantly our selling expenses as we scale down the use of [indiscernible] to zero by the end of the third quarter. In Q1 2025, production was 80,900 BOEs per day, an increase of 47% year-over-year. Oil production was 69,600 barrels per day, also 47% year-over-year. Total revenues during the quarter were $438 million, 38% above the same quarter of last year. Lifting cost was $4.7 per BOE, 8% above year-over-year. Capital expenditure was $268 million driven by 16 wells drilled and 10 wells completed during the quarter, plus $49 million in development facilities. Adjusted EBITDA was $275 million, an interannual increase of 25%. Net income was $83 million implying a quarterly EPS of $0.9 per share. Free cash flow was minus $243 million during the quarter as we initiated a year of a very strong growth. And finally, net leverage ratio at quarter end remained strong at 0.84x adjusted EBITDA. During Q1, we recorded another quarter of double-digit in the annual production growth. This reflects a strong performance from our development hub with 49 wells connected in the last 12 months. We tied in 10 wells in the quarter, back loading activity to make better use of all the Oldelval pipeline expansion and minimize trucking expenses. Total production at 80,900 BOEs per day was 47% above the same quarter of last year and as expected 5% below Q4 2024. Oil production was 69,600 barrels of oil per day, 47% above year-over-year. And gas production increased 42% on an interannual basis. In Q1 2025, total revenues were $438 million, 38% higher year-over-year, driven by the strong increase in oil production. On a sequential basis, the relatively lower increase in total revenues compared to the 47% increase in oil production reflects an inventory buildup of 360,000 barrels of oils, which will be reflected in the sales of Q2. Realized oil price was $68.6 per barrel on average, down 2% on an interannual basis, mainly driven by the lower international prices. Export realization prices were $68 per barrel with 43,200,000 barrels of oil during the quarter, twice as much as during the same quarter of 2024. Domestic realization prices were $69.4 per barrel, including volumes sold at export parity. We continue to increase the domestic volumes sold at export parity pricing. During Q1, 78% of our domestic volumes and 90% of our total volumes were sold at export parity. Listing cost during Q1 was $4.7 per BOE, flat on a sequential basis reflecting successful cost control despite the lower volumes and the underlying USD cost inflation. Selling expenses per BOE came down 19% on a sequential basis, driven by savings in truck costs, which totaled $27.7 million, $13.7 million below Q4 2024. The connection of Oldelval Duplicar pipeline during the quarter enabled us to gradually reduce trucking volumes. Importantly, expansion capacity is now fully available. We have incorporated 31,500 barrels of oil per day of pipeline capacity and we forecast not tracking in Q2. Adjusted EBITDA during the quarter was $275 million, 25% higher on an interannual basis and flat compared with Q4 2024. Adjusted EBITDA margin expanded 5 percentage points on a sequential basis, driven by higher oil prices and lower selling expenses. Driven by the same factors, our netback expanded 9% during the quarter to $37.8 per BOE. During Q1 2025, cash flow from operating activities was $66 million, reflecting an increase in working capital of $59 million, and unbanked payment for metering expansion of $36 million. Cash flow used in investing activities was $310 million, reflecting accrued CapEx of $268 million, an increase of $18 million in working capital and an investment in Vaca Muerta Sur of $29 million. Free cash flow during the quarter was therefore minus $243 million. Cash flow from financing activities was $219 million, reflecting proceeds from borrowings of $341 million and partially offset by the repayment of borrowings of $99 million. Finally, cash at period end was $740 million and our net leverage ratio stood at 0.84x adjusted EBITDA. We will now deep dive into the acquisition of Petronas Argentina, which we announced last week. The purchase price was composed of $900 million in cash, a deferred cash payment of $300 million at zero interest and 7.3 million Vista shares. This payment equates to an NPV of approximately $1.3 billion, leading to a highly accretive acquisition multiples. With this transaction we closed last week, we started the consolidation of 50% of La Amarga Chica at April 15, a material addition to our portfolio. La Amarga Chica expanded 46,000 acres in the core of Vaca Muerta and is right next to Bajada del Palo Este and Aguada Ferral. At our share, we estimate it has an inventory of 200 wells to be drilled, increasing and enhancing Vista's inventory. At our 50% P1 reserves were 140 million BOEs as filed at year end 2023, a significant addition to the 375 million BOEs of P1 reserves booked by Vista. With the 247 wells on production at year end 2025, La Amarga Chica has a solid history of robust well productivity and low lifting costs, very comparable to our development hub. It is also the second largest producing block in Vaca Muerta. Production was 79,500 BOEs per day in Q4 2024, implying that our 50% we have consolidated 39,800 BOEs per day. This leads to a pro forma production of 125,000 BOE per day for such a period, of which 109,000 are old. Petronas Argentina has secured a material amount of transportation and dispatch capacity in the midstream sector. Combining the Vaca Muerta Norte and the Oldelval Duplicar pipeline, we are adding 57,000 barrels of oil per day of field transportation, 90,000 in Oldelval open access, 70,000 in Duplicar and 21,000 in Vaca Muerta Norte. Based on Q4 2024 production data, more than 20,000 barrels per day or around 40% of this capacity was either providing ample room for growth and synergies with our development hub. With this strategic transaction, we are doubling down on Vaca Muerta, increasing our exposure to short cycle low breakeven shell assets. This deal improves our short and medium term cash flow profile as well as our long-term value proposition for shareholders. This constitutes a highly accretive transaction for our shareholders. Adjusted EBITDA of 2x, EBITDA per flowing barrel of $33,000 and price to earnings of 3.8x. The transaction multiples comparable very positively to Vista's own trading metrics. We have consolidated a low cost, high margin cash generating asset. La Amarga Chica lifting cost was $4.1 per BOE in 2024, reflecting a robust operating model and solid well productivity. On pro forma basis for 2024, the acquired company improved our adjusted EBITDA by 61%, strengthening our cash flow profile. On the same basis, adjusted EBITDA margin improved by 3 percentage points from 65% to 68%. The transaction also increases our scale and enhance our portfolio. On a pro forma basis, our total production for Q4 2024 will be 125,000 BOE per day, an increase of 47%. As discussed earlier, P1 reserves and acreage are also significantly enlarged. As per our estimation, La Amarga Chica has an inventory of 200 wells to be drilled at our 50% working interest. We are therefore increasing our inventory by 20%, adding wells located in a premium area of Vaca Muerta, Bajada del Palo Oeste, a region we know extremely well and which has consistently delivered extraordinary value to our company. Based on La Amarga Chica proximity to our development hub, our analysis showed there are very clear synergies we can capture related to sharing facilities, optimizing well placement close to the limit between the blocks, streamlining new well designs and potentially sharing general services. Importantly, the acquired company holds material oil mixing capacity. By adding 57,000 barrels of oil per day of contracted pipeline capacity, we have reached almost 200,000 barrels of oil per day capacity on a pro forma basis, excluding trucks. We are thrilled to be consolidating a high margin, low breakeven asset with very clear synergies with our ongoing operation. Based on the scale and importance of this consolidation, we are currently working on a revised version of our 2025 plan. We are therefore removing our 2025 market guidance and we will present an updated guidance in our Q2 earnings call. I will make some closing remarks before we move on to Q&A. On the operational front, we have made solid progress during the quarter. Production increased 47% year-over-year driven by 49 new wells drilled and connected in the last 12 months. We reached a major milestone as the Duplicar pipeline came online, adding 31,500 barrels of oil per day of oil transportation capacity, materially reducing our selling expenses quarter-on-quarter and fully eliminating trucking volumes after quarter end. Yet the most important achievement was on the M&A front with execution of a transformational deal for our company. Our track record shows that we are a company that cannot add value to its upstream operation as well to business development. With acquired assets, we incorporate flowing production, material EBITDA and cash flow generation, premium new well inventory, [indiscernible] metering capacity and potential synergies at accretive acquisition multiples. Following this M&A transaction, Vista emerged with an improved cash flow profile and higher margins, which is very relevant in the backdrop of a high market volatility and I think more importantly reflects our constructive long-term vision on Vaca Muerta and long-term global oil price fundamentals. Before we move to Q&A, I would like to thank the entire Vista team for their hard work in this quarter. And specifically, I would like to thank the M&A team for their understanding transaction is just concluded. Operator, we can now move to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alejandro Demichelis from Jefferies.
Alejandro Demichelis: Yes. Good morning, guys. First, congratulations on the deal to the whole team. Miguel, maybe you can deep dive a little bit more on those synergies that you're talking about in terms of how long do you think it's going to take you to achieve those? How are the discussions with the operator to get access to that kind of extra capacity, the sharing of some services, as you mentioned? And how you see that kind of, say, more of a portfolio development going forward?
Miguel Galuccio: Hi, Ale, thank you for the question. Our synergies are super important, as you know, in any acquisition. We run a very solid decision process, and we have a very good engagement with YPF in the last days. I think both teams, we are super concentrating and exciting of working together. I will say the first synergy that we perceive and we see is total transportation capacity. That clearly will bring more flexibility to our operated hub. The total capacity is 57,000 barrel of oil per day. That is compared with a current oil production that is around 20,000 -- leave us with 20,000 barrels of oil per day per capacity. We also see potential upside in sharing oil treatment facilities. La Amarga Chica have two oil treatment plants. Each one of them have 80,000 barrel oil per day capacity. That if you compare with the total production of the block, clearly there is spare capacity that we -- that is available to us and really will save costs. The other thing that we believe that we can optimize is the drilling of the longer lateral close to the border of the two blocks. Now that we somehow we have ownership in both block, clearly we can optimize the work placement doing probably longer laterals before we sometimes we come short on the borders. So that from the subsurface point of view is also an upside. And last but not least and probably more important than everything else. We know that we share and I share with Horacio [ph] the important I would say target of reducing well contraction costs both on drilling side and on the completion side. There's a lot of things that we can do together in terms of reducing cost of goods, cost of services and also sharing best practice of how we drill and complete those wells. So the last one I think is super important and particularly in the new environment that we have in the oil prices volatility.
Alejandro Demichelis: That's very useful. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Bruno Montanari from Morgan Stanley.
Bruno Montanari: Hi, Miguel, Ale. Thanks for taking my question, and very good to see this great acquisition. I understand it's too soon to provide guidance for 2025 in the long-term, which we eagerly wait for. But if you can talk about what we expect in the very short-term, what are you seeing now for the second quarter? In other words, what is Vista's initial reaction to activity and CapEx and how to manage the workflow right after the acquisition? That'd be great. Thank you very much.
Miguel Galuccio: Thanks, Bruno, for your question. I think in Q2, you will see a sharp growing production as we consolidate La Amarga Chica. We finished Q1 almost at 81,000 barrels per day. And I think we should see north of, I would say, 10,000 barrels per day in Q2. Since the importance of the takeoff of our part of Bajada del Palo Este, it will come in the important production will come in, in Q3. So I would say you should consider north of 110 for Q2. And then in Q2, we are not planning in changing any drilling or completion activity plan or CapEx at the moment. So yes, [indiscernible] Q2. And of course, we will continue growing in Q3 as most of our activity when you see where the load of production and completion come in, it will be in Q3. And Q2, you have to consider that Q2 is going to be just 75 days of the transaction. So that is what I'm accounting in the current term.
Bruno Montanari: Super. Thank you very much.
Miguel Galuccio: You're welcome.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Daniel Guardiola from BTG Pactual.
Daniel Guardiola: Hi, good morning and thank you for the presentation. Miguel, Alev, congrats for the transaction. I guess my question is on two fronts. One, can you share with us what is the expected leverage deterioration following this acquisition? And regarding the free cash flow generation, can you please elaborate on what happened during the Q and what are your expectations for 2025 and 2026, please?
Miguel Galuccio: Thank you, Daniel. So first of all, probably to say that PEPASA has no debt at the time of the acquisition and a very small amount of cash for working capital purpose. With the acquisition, we have incorporated $300 million of financial debt and we paid $900 million upfront. So after that acquisition on pro forma base in LTM, our net leverage ratio is around one-time adjusted EBITDA. You should see or should assume or you should expect that the net leverage ratio to be below 1.5. And this I will say assuming a [indiscernible] of $65 during the year. If we have a different Brent, we should adjust at $1.5 [ph]. This means we will require some additional financing during the year. That is obvious. In terms of cash flow, the negative cash flow that you see is related to CapEx acceleration, and this was basically designed in our guidance. Before the Petronas acquisition, we have between minus $400 and minus 500 million free cash flow. Based on the growth CapEx and our equity in Vaca Muerta supply line. I would say that additionally, in Q1, usually, we have a negative working capital related to the payment activities that we executed last year. So going forward, you should know that Petronas acquisition will extend our cash flow profile because we consolidate material with the generation that's coming from that block. And we are reassessing our plan following the consolidation of this block. And we will issue new guidance as we mentioned before in Q2. And then also we will show you a new long-term plan sometime in the second half of this year. Hope I have answered your question.
Daniel Guardiola: Thank you, Miguel.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Bruno Amorim from Goldman Sachs. Bruno Amorim, your line is now open. Please proceed with your question. One moment for our next question. Our next question comes from the line of Andres Cardona from Citi.
Andres Cardona: Hi, good morning, everyone. Miguel, Paulo, Alec my congratulations on this. I expect to be very interesting. When looking at the first quarter production numbers, there seems to be a decline versus the fourth quarter results versus the fourth quarter. Can you give us some color on that? What do you expect in particular for La Amarga Chica in the second quarter and for the remainder of the year?
Miguel Galuccio: Thank you, Andres. Yes, you're right. I mean, at our 50% share, Q4 was around 39,000 barrels per day. There was a lower new well activity in Q1 leading to an average of 34,000 barrel per day. Today, I look at the production yesterday was 35,000 barrel per day. So we expect a pickup in production in Q2. A four well we're tied in March 14 in April, and they're planning 10 new well tie ins in May and June. So when you look at Q1 will be completed with 10 tie ins and Q2 we said you should assume between 20 and 24 tie ins for the full year around 50 tie ins. So, you should see a pickup coming up, a good pickup coming up that you will see in our production in Q2.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Rodolfo Angele from JPMorgan.
Rodolfo Angele: Hi, good morning. First of all, congrats for the acquisition. My question is on a view on peak production looking forward. Before the acquisition, the plans were of reaching a 150,000 barrels a day by 2030. And I understand there's no guidance yet, but could you comment on what do you see potential volumes for Vista in the long-term? That's my question. Thank you very much.
Miguel Galuccio: Thanks, Rodolfo for your question. As I mentioned, we are planning to call an Investor Day second half of the year. Clearly, our new plan will accelerate our ambition to reach 150,000 barrels per day in 2030. So our new strategic objective, you should assume that we'll be aiming to new high will be about 150,000 barrel per day. And really part of this acquisition was to accelerate this 150 that now is around the corner.
Miguel Galuccio: Thank you, Rodolfo, for the question.
Miguel Galuccio: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Leonardo Marcondes from Bank of America.
Leonardo Marcondes: Hi, everyone. Good morning for taking my question. I would like to know if you guys continue to explore other M&A opportunities post the La Amarga Chica acquisition. So we know that there are other opportunities in the market. It would be good to know if you continue to assessing -- continue assessing these opportunities. Thank you very much.
Miguel Galuccio: Thank you, Leo, for the question. Yes. As you know, I mean, we have a good track record of creating value through M&A. So we are not only a good operator, we have a top notch BD team at Vista. It is part of our strategic approach. I mean, we will continue doing that. And we are -- as we increase our scale and our cash flow profile, we will continue assessing opportunities as they come or how we see them. So, but of course, we will continue setting very high value in term of value accretion and a strategic fit. So the short answer is yes, We are and we will continue assessing new opportunities and we will not change our strategy. So you wouldn't expect something that come out of what we do. And yes, the key will be that we maintain our discipline of that acquisition to be accretive our shareholders and to our story.
Leonardo Marcondes: That's very clear. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Vicente Falanga from Bradesco BBI.
Vicente Falanga: Good morning. Thank you, Miguel, Alejandro, Juan. I wanted to understand a little bit more what are the key operational advantages and disadvantages that La Amarga Chica has over Bajada del Palo Este. Miguel, you also commented that you could potentially drill new well designs. Could you provide more details on that to some extent? How much longer laterals could La Amarga Chica wells have, more frac stages? And can you get the La Amarga Chica type curves closer to Bajada del Palo Este? Thank you.
Miguel Galuccio: Vicente, for the question, look, first of all, these two assets are great assets, okay? They are in the core prime area of Vaca Muerta. The rock quality in both cases, we know then they are very good. I think best-in-class within Vaca Muerta. [Indiscernible] you know, they are actually next to each other. We have studied them very well and definitely our geologists see geological continuity. If you look at the productivity per well, they are also very comparable. Maybe BOE in average is slightly better today, okay? But La Amarga Chica start before. So I believe they are very close. BPO is in early stage of development. We have less well drilled, less landing zone tested. Therefore, there's more upside in terms of inventory and production growth. You mentioned well designed. I mean well designed I think whatever we do next, I mean we are always looking to what we can do differently in order to be more efficient in the placement and the development of the reserve. But also we are looking always and we are looking now on how we can reduce our CapEx in terms of oil cost achieving similar productivity. And I will say whatever we do or whatever recipe we find it will be applicable to La Amarga Chica. And as I mentioned before in one of the previous question, part of the key is working also with YPF and sharing the learning from both sides. Okay? YPF people are technical people that we know very well. As you know, we consider them co workers. So what we can do in using the strength of VISTA and the strength of YPF to make the best of both block is part of the key to continue progressing. And we will have that level of cooperation between the two companies. At the end, we have both the same objective that is try to create value from the development of the well. And as I mentioned before as well, are we coming in a market with more uncertainty in terms of oil prices? Whatever we do to reduce cost of service, goods, capital and applying best practice, it will be key. So, I cannot comment in anything specific today. Probably when we show our Q2 plan, we will go through some specific on what we are doing on that front. Thanks for your question.
Vicente Falanga: Thank you very much.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Kevin MacCurdy from Pickering Energy Partners.
Kevin MacCurdy: Hey, good morning, and I appreciate you taking my question. My question is on your outlook for Brent oil prices and the impact on your long-term plan. Oil prices have achieved over the past several weeks. Do you have an internal view on mid cycle Brent prices? And have you considered how your long-term plans might be impacted by lower prices? Thank you.
Miguel Galuccio: Hi, Kevin. Happy to have you on board covering Vista. Thank you for that. So looking to oil prices, today we are below Q1 levels. That is a fact. Q1 was 75 on average. In April demand to date average is 67 and today is 65. So, we are obviously going through a period of increasing volatility. Especially since the start of April, okay, we have seen that. However, when you look at the last days, we have seen, I would say, positive correction to the negative announcement that led to the increase in volatility, okay? In the long-term, I have no doubt about the trend of the fundamental of oil and gas sector. We continue to see a strong long-term oil demand. And also, we're still seeing some uncertainties in terms of long-term supply and where that supply will come from. So I have no doubt that the fundamentals for the long-term are there. We have to manage to drive through the times of volatility. And with that I think for that I think we have the right team, the right company and the right asset because our assets are short cycle assets. We have proved that during the COVID-19 years. And also Vista have the agility and the contract of the arrangement to accelerate and also to stop or reuse when we have to do that. So, I cannot probably put more comment, more color to your question. I think in Q2, we will give you a new guidance. And with that new guidance, we will adjust activity and oil prices view. So if you hold and wait for us for Q2, I will give you more precision on your question. And thank you again. Good to have you on board.
Operator: Thank you. One moment for our next question. Our next question comes from the line of George Gasztowtt from Latin Securities.
George Gasztowtt: Hi, good morning, and thank you for taking my question. Prior to the incorporation of the new assets, trucking was expected to pick up slightly in 2026 before Vaca Muerta Sur comes online? With the addition of its new midstream capacity, should we now expect trucking to be fully phased out?
Miguel Galuccio: Hi, George. Thanks for the question. So first of all, since April 1, we are not tracking oil, okay? We are happy for that and it's saving us a lot of cost. This new acquisition, as we mentioned, brings 57,000 barrels of new midstream capacity. With that, the full capacity of Vista is take to a total of 144 barrels, if I'm calculating well. Now we are working in a new plan. I mentioned that we accelerated 150 and we will have a new ambition. And for that we will require new capacity. Again, in the new guidance, we will show you what we are planning to do. And depending on that we may need a bit of tracking capacity. We have that infrastructure in place or we will not. But clearly, if we need it's going to be very little.
George Gasztowtt: Thank you. That's very clear.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Victor Modanese from UBS.
Victor Modanese: Good morning, Miguel, Alejandro, Juan. Most of my questions have already been answered, so I would just like to confirm one final point regarding the acquisition of La Amarga Chica. Can you confirm if the transaction is now complete and the acquired stake is fully incorporated into Vista? Or are there any regulatory approvals and precedent conditions pending? Thank you.
Miguel Galuccio: Thank you, Victor, and it's a good question. We look into that. So the short answer is the transaction is completed. We are basically currently consolidating PEPASA [indiscernible], which includes 50% of La Amarga Chica. We are formally filing the transaction with the antitrust agency and we do not foresee any competition issues based on the precedent cases that we have in Argentina within the oil and gas industry. So there are no other regulation approval pending and there are no condition precedent. So the short answer is this deal is completely closed.
Victor Modanese: Okay. That's very clear. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Bruno Amorim from Goldman Sachs.
Bruno Amorim: Yes. Hi, good morning. Can you hear me? Hello, can you hear me?
Miguel Galuccio: Yes, we can hear you.
Bruno Amorim: Okay, thank you. So I just have a follow-up question on the recent acquisition that you have made. So the acquisition of Petronas, does it change to some extent your plans for the current assets or should we think about the existing operation and the new asset as independent operations? Thank you.
Miguel Galuccio: Yes, Bruno. So given the consolidation of La Amarga Chica, we have removed the guidance of 2025 from the market, and we are already working on the revised plans as we speak. But we are incorporating the activity of the [indiscernible] and we are focused on protecting basically balance sheet, maintaining a healthy leverage ratio, as I mentioned, a very volatile environment. And we are reassessing the CapEx plan and making a new plan that consider both operating and non-operating CapEx. We believe the new plan -- I believe the new plan will be much more solid to the one that we have today due to the new production that is coming in and the adjusted EBITDA that we are consolidating. And of course more importantly probably for this year, it will be that we will have a stronger free cash flow. And with that free cash flow we will have more flexibility. So again, as I said before, if you bear with us, we will issue that new guidance in Q2 during the earnings call. And thanks for the question.
Bruno Amorim: Thank you.
Operator: Thank you. At this time, I would now like to turn the conference back over to Miguel Galuccio for closing remarks.
Miguel Galuccio: So thank you very much everybody for participating. [Indiscernible] you said that we at Vista, we are super happy with this acquisition. It take the company to a different level of scale, different level of trend and of course, different level of flexibility because now we have a bigger playground to play. Again, thank you for the report and thank you for the support. Have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.